Operator: Good morning and welcome to the Hasbro First Quarter 2017 Earnings Conference Call. At this time, all parties will be in a listen-only mode. A brief question-and-answer session will follow the formal presentation. Today's conference is being recorded. If you have any objections, you may disconnect at this time. At this time I'd like to turn the call over to Ms. Debbie Hancock, Vice President of Investor Relations. Please go ahead.
Debbie Hancock - Hasbro, Inc.: Thank you and good morning, everyone. Joining me this morning are Brian Goldner, Hasbro's Chairman and Chief Executive Officer and Deb Thomas, Hasbro's Chief Financial Officer. Today, we will begin with Brian and Deb providing commentary on the company's performance and then we will take your questions. Our first quarter earnings release was issued this morning and is available on our website. Additionally, presentation slides containing information covered in today's earnings release and call are also available on our site. The press release and presentation include information regarding non-GAAP financial measures. Please note that whenever we discuss earnings per share or EPS, we are referring to earnings per diluted share. Before we begin, I would like to remind you that during this call and the question-and-answer session that follows, members of Hasbro management may make forward-looking statements concerning management's expectations, goals, objectives and similar matters. There are many factors that could cause actual results or events to differ materially from the anticipated results or other expectations expressed in these forward-looking statements. Some of those factors are set forth in our annual report on Form 10-K, our most recent 10-Q, in today's press release and in our other public disclosures. We undertake no obligation to update any forward-looking statements made today to reflect events or circumstances occurring after the date of this call. I would now like to introduce Brian Goldner. Brian?
Brian D. Goldner - Hasbro, Inc.: Thank you, Debbie. Good morning, everyone and thank you for joining us today. The Hasbro team's continued strong execution of our Brand Blueprint strategy is building immersive 360 degree experiences for our fans, children and their families. We continuously identify proprietary insight, create engaging storytelling, invent innovative new play experiences and execute in collaboration with global omni-channel retailers. Through our investment in brands and capabilities around the Blueprint, we are connecting with more consumer groups across more platforms and screens than at any time in our history. Our first quarter results were consistent with the expectations we shared with you in February, and position us well to execute against the major theatrical and content releases as well as innovative new play experiences planned for the full year. Revenues grew 2% against a very strong first quarter last year, and the negative impact of the Easter shift into this year's second quarter. In the first quarter, where small shifts have a big impact, operating profit was impacted by an extra week of expenses, and to a lesser extent, a shift in product mix. The mix included a shift to partner brand products with a higher cost of sales, notably Disney Frozen and Frozen, where we are investing, along with the decline in the quarter for our higher margin MAGIC: THE GATHERING business. As we noted at our Toy Fair investor meeting, these shifts were anticipated and we continue to forecast modest full year operating profit margin growth versus 2016 reported operating profit margin of 15.7%. Net earnings grew 41% in the quarter to $0.54 per share, which Deb will speak to more in detail shortly. Our year is set up for success. Hasbro retained its position as the number one company in the G8 markets through the end of March according to NPD. And Hasbro is the number one company year-to-date through March in the U.S. Our point of sale was strong, increasing double digits globally. All regions POS grew and we drove double-digit growth in all brand portfolio categories: Franchise, Partner, Gaming, and Emerging Brands. Easter was in the second quarter this year, versus the first quarter last year. Point of sale year-to-date through the Easter week also grew double digits, including growth in the Easter period, year over year. Hasbro net revenues grew in the U.S. and Canada segment and in the Entertainment and Licensing segment. International revenues were flat. Franchise brand revenues grew 2% in the quarter, led by growth in NERF, TRANSFORMERS, and MONOPOLY. The launch of NERF AccuStrike and the continued momentum in NERF Rival drove robust revenue growth. TRANSFORMERS recorded strong shipment and POS growth. We shipped a small amount of the TRANSFORMERS: THE LAST KNIGHT line for today's on shelf date for movie supported consumer products. TRANSFORMERS also had strong support in digital gaming and Backflip Studios TRANSFORMERS: EARTH WARS continues to perform well. While MY LITTLE PONY revenue declined in the quarter, brand engagement continues to be high in markets around the world as we prepare for the August 1 on-shelf date for our product line and consumer products supporting MY LITTLE PONY: THE MOVIE. Our investment in all screen storytelling continued with the April 15th premier of the seventh season of the MY LITTLE PONY FRIENDSHIP IS MAGIC animated series. MAGIC: THE GATHERING revenue was negatively impacted by the timing of new story-led releases. As outlined at Toy Fair, the second quarter marks the release of the Amonkhet set, which is expected to deliver strong performance for this franchise brand. Hasbro gaming grew 43% in the first quarter, with continued growth in PIE-FACE and SPEAK OUT, as well as the launch of several new games. In total, the Hasbro gaming category, including MONOPOLY and MAGIC: THE GATHERING grew 10%, with strong double-digit global POS increases. Capitalizing on people's passion for playing games, this summer Hasbro Gaming is launching the Hasbro Gaming Crate. This all new subscription service brings game night to your doorstep, featuring all new games carefully selected by Hasbro gaming experts. Further expanding gaming experiences, we announced an all new music mixing game DROPMIX. In partnership with Harmonix, this fast-paced game has players blending hit songs from award-winning artists. This new gaming system will be available beginning in September. Emerging brand revenues increased 25% behind continued growth in BABY ALIVE and FURREAL FRIENDS. In addition, we launched Hanazuki earlier this year. To date, we have released over 200 minutes of content and are approaching 120 million views. We are developing plans to expand storytelling globally across screen. Moving to Partner Brands, revenues declined as anticipated, 18% in the quarter. BEYBLADE, which is rolling out globally, and continued strength in DREAMWORKS' TROLLS contributed positively, but did not offset the declines in STAR WARS and MARVEL ahead of major theatrical launches this year. In May MARVEL's Guardians of the Galaxy: Volume 2 will be released and product is rolling out globally now. Spider-Man: Homecoming opens in July, and November will see Thor: Ragnarok. Star Wars: The Last Jedi will be in theaters on December 15th, with Force Friday II scheduled for September 1 globally. In addition, Star Wars Forces of Destiny, an original micro series of animated shorts by Lucasfilm was recently announced. This initiative celebrates the inspiring stories of iconic heroes from across the STAR WARS universe. Developed in collaboration with Disney and Lucasfilm, the shorts will launch in July and Hasbro's line of adventure figures, plus expanded role play offerings will debut in August. This innovative new line addresses broadening audiences while also appealing to existing fans. This quarter was the anniversary of our launch of Hasbro's line of Disney Princess and Frozen fashion dolls and small dolls. Global point of sale was strong, including gains in Disney Princess and Frozen, plus the addition of Beauty and the Beast, Elena of Avalor, and Moana. We are seeing additional demand for Moana from streaming and home entertainment. This is a trend we are seeing and we look forward to the second window on other properties, including Beauty and the Beast later this year. In closing, the first quarter was consistent with our expectation as we grew compared to a very strong first quarter last year. We are well-positioned to execute against the storytelling and brand initiatives for the year, while investing to expand the reach of our brands and deliver profitable growth for this year and future years. Deb will now speak further about the first quarter financial results. Deb?
Deborah M. Thomas - Hasbro, Inc.: Thank you, Brian and good morning, everyone. Our first quarter performance was in line with our expectations, and reinforces our full year outlook. As expected, 2017 began with a difficult comparison, yet we grew revenues 2%, and earnings per share 40%. Operating profit was negatively impacted by anticipated events in the quarter, including an extra week of expenses and a shift in product mix. Given the first quarter's smaller relative size to other quarters of the year, these changes are amplified and are expected to smooth out over the course of the year. Net earnings increased to $68.6 million, and earnings per share increased to $0.54. We experienced a $0.03 favorable foreign currency gain recorded in the other income line, as well as an $0.11 benefit from Hasbro's adoption of the new accounting standard governing stock-based compensation. This tax benefit was $0.03 higher than we forecasted in February due to the stock price appreciation over that time. Hasbro is in a very strong financial position, with positive consumer takeaway, strong earnings, and a healthy balance sheet. For the quarter, revenues in the U.S. and Canada segment increased 2%. Revenue growth in Hasbro Gaming and Emerging Brands offset lower Partner Brand revenues and a 1% decline in Franchise Brands, primarily due to the decline in MAGIC: THE GATHERING. In total, U.S. and Canada point of sale increased in the high single digits and remaining retail inventory is of good quality. Allowances during the quarter remained consistent with last year. Operating profit in the U.S. and Canada segment decreased 17%, or $13.6 million, due to the anticipated decline in MAGIC: THE GATHERING revenue and certain higher expenses. International segment revenues were flat, including a positive $3 million impact from foreign exchange. Within the international segment, Franchise Brands, Hasbro Gaming, and Emerging Brands revenue increased. Partner Brand revenues declined. Point of sale grew across all three regions: Europe, Latin America, and Asia Pacific. Retailer inventories are overall of good quality and while there are always certain regions with pockets of inventory, our overall inventory continues to be concentrated in new and growing brands. Operating profit in the segment was $0.5 million, compared to $2.9 million last year. The $2.4 million decrease was the result of product mix and higher expenses in the quarter. Entertainment and Licensing segment revenues increased 24%, driven by growth in digital gaming, including Backflip Studios. Segment operating profit increased over 100%, or $5.9 million to $11.3 million in the quarter. The improvement came primarily from the growth in higher margin digital gaming revenues. Overall, Hasbro operating profit decreased 9%, and operating profit margin was 9.2% versus 10.1% last year. In addition to a shift in product mix, the first quarter of this year had 14 weeks versus 13 weeks last year. Falling in the last week of the 2016 calendar year, the extra week does not drive much incremental revenue, but did drive incremental expense of approximately $7 million. Cost of sales increased 6% to 36% of revenues. This reflected the shift in product mix, including in Partner Brands and MAGIC: THE GATHERING revenues and the timing of lower margin closeouts. These closeout sales have a lower gross margin and are part of our normal annual activity, but were more highly concentrated in the first quarter this year compared to a year ago, as we aligned around marketing for entertainment windows. The decline in Partner Brands drove an associated 8% decline in royalty expense. Combined, cost of sales and royalties increased 30 basis points. Product development increased as a percent of revenues in the quarter, in part due to the incremental expense associated with the extra week and, more strategically, as we continue investing to drive innovation. SD&A increased as a percent of sales to 28.7%. We experienced higher expenses due to the extra week as well as investments in IT systems, higher IT depreciation, and higher compensation expense. We continue to expect full year SD&A to be in line with 2016 excluding the impairment charge as a percent of revenue. Turning to our results below operating profit, other income was $17 million versus an expense of $2.7 million last year. Other income was driven primarily by foreign currency transaction gains this year, versus a loss last year, and to a lesser extent, higher interest income. The underlying tax rate was 24.9%, down from 26.5% in the first quarter last year, and versus the 24.5% for the full year 2016. The quarter included $15.4 million in discrete tax benefits, primarily from our adoption of the new accounting standard governing stock compensation. As we discussed at Toy Fair, given the timing of Hasbro's equity grants, this impact is greatest in the first quarter. The $0.11 benefit was higher than we had forecasted in February and reflects the incremental benefit of our stock price appreciation over that timeframe. The anticipated EPS impact for the remaining quarters of 2017 is approximately $0.015 per quarter. However, as we experienced in Q1, that impact is ultimately dependent on our stock price. Diluted earnings per share for the quarter were $0.54. Our financial position is strong, including a healthy balance sheet with robust cash generation. We generated $411.9 million in operating cash flow in the quarter, and $916 million over the trailing 12-month period, ending the quarter with $1.5 billion in cash. Our capital priorities remain investing in our business, in particular, to enhance capabilities around the Brand Blueprint and returning excess cash to shareholders. In the quarter, we returned $81.5 million to shareholders through our dividend and repurchase program. On May 15, the first dividend at the 12% higher quarterly dividend rate of $0.57 per share will be paid. We repurchased 218,000 shares of common stock during the quarter at a total cost of $18.1 million. We continue to target repurchase levels for the full year in line with the $150 million we purchased last year. Repurchases are subject to market conditions and availability of U.S. cash. Receivables at quarter end increased 1%, and day sales outstanding decreased one day to 72 days. Our accounts receivable are in good condition and collections continue to be strong. Inventories declined 10% in the quarter to $416 million. Overall, our inventories are in good shape, supported by disciplined execution from our team. With new merchandise coming in now, we're well-positioned for our second quarter focused on entertainment and new initiatives. In closing, our first quarter positions us well for 2017, with strong consumer engagement and takeaway, investments to drive long-term growth of our business, and new entertainment and innovations slated throughout the year. Now, I'll turn the call back to Brian.
Brian D. Goldner - Hasbro, Inc.: Thank you, Deb. Before we take your questions, I want to thank the global Hasbro team for all they do in setting the highest standards for a responsible business. Last week, Hasbro was ranked number one on Corporate Responsibility, CR Magazine's 2017, 100 Best Corporate Citizen List, which ranks the Russell 1000 companies across seven categories. This is a tremendous honor and the result of years of work from our teams around the world. Hasbro continues to be recognized by some of the world's most prestigious business rankings for our CSR commitments and advancements. It is a priority that our management and board have set, but it is the actions our teams take every day that sets the standard. In addition to topping the corporate citizen list, Hasbro was recently named a world's most ethical company for the sixth year and ranked number one in Newsweek's 2016 Green Rankings. Being a good corporate citizen is not just what we do, it's who we are. Deb and I are now happy to take your questions.
Operator: Thank you. Our first question is from the line of Drew Crum with Stifel. Please proceed with your question.
Drew Crum - Stifel, Nicolaus & Co., Inc.: Okay, thanks. Good morning, everyone.
Brian D. Goldner - Hasbro, Inc.: Morning, Drew.
Drew Crum - Stifel, Nicolaus & Co., Inc.: Let me start with STAR WARS. Guys, I think you talked about having elevated inventory for that brand entering the year. Just give us an update as to where you are with that. And with Star Wars Celebration, I believe last week, how that impacted point of sales and the year-to-date figure you gave through Easter?
Brian D. Goldner - Hasbro, Inc.: Yeah, STAR WARS at this point, we are seeing that we have a number of opportunities and are selling through product. We took advantage of the fact that we have Rogue One home entertainment, which broke just in early April, and we are seeing great sales on the Black Series and role play are some of the key drivers, the Black Series figures. We've kicked into a marketing program around joining the rebellion and we are moving into the 40th anniversary of the STAR WARS business, and certainly celebrating that. In fact, we'll also have the Early Bird set from 1977 coming out of Celebration, which we've re-imagined and will be on sale. And then, again, we will have, over the summer, Forces of Destiny, which we're very excited about, the micro series of animation, plus product in our adventure figures and role play, And then that takes us to our September 1 which is Force Friday II and certainly very excited about that moving into the movie in December, mid-December. So overall, what we've seen is that STAR WARS year-on-year continues to perform and we've taken advantage, as Deb noted in our remarks, of marketing windows and entertainment windows to move through additional inventories in the first quarter.
Drew Crum - Stifel, Nicolaus & Co., Inc.: Got it. Okay. And then moving over to BEYBLADE, I know it's really early. But any commentary on the launch and just general consumer interest in the line, relative to the last product cycle? And then on NERF NITRO, can you just give us a sense as to what the timing is of the launch of that product?
Brian D. Goldner - Hasbro, Inc.: Sure. BEYBLADE is only off to a start in a few markets but off to a very good start. And we've seen a very good start in Australia and very early days in the U.S. but a very good start here. And it will begin rolling out around the world. So, I would say staged and rolling out around the world as we have entertainment placed, but the play pattern is really compelling with BEYBLADE BURSTS. So, I'm very excited about that. And NERF NITRO will kick in late summer into fall sets and we're very excited. But NERF year-to-date has performed at a very high level. AccuStrike has gotten off to a very strong start. We continue to see great growth in NERF RIVAL and that brand is experiencing very robust growth and very robust sell-through, along with a lot of our product line.
Drew Crum - Stifel, Nicolaus & Co., Inc.: Okay. I'll jump back into the queue. Thanks, guys.
Brian D. Goldner - Hasbro, Inc.: Thanks.
Operator: Our next question is from the line of Felicia Hendrix with Barclays. Please proceed with your question.
Felicia Hendrix - Barclays Capital, Inc.: Hi, good morning.
Brian D. Goldner - Hasbro, Inc.: Morning.
Deborah M. Thomas - Hasbro, Inc.: Morning, Felicia.
Felicia Hendrix - Barclays Capital, Inc.: Hi. So, not to get caught up in semantics and hold you too much to this, but – so in the release and your prepared remarks you said that first quarter was in line with previously communicated expectations, but you did better on revenues, because you guys were guiding for the first quarter that revenues would be down a bit and they were up 2%. So, I'm assuming that when you talked about in line with expectations you were meaning overall. But given that you've kind of provided that guidance within six weeks to go in the quarter, I was just wondering what drove the better than expected revenues.
Brian D. Goldner - Hasbro, Inc.: Well, we're really seeing great acceleration in several categories. Our Gaming business up 43%, including great contributions from Backflip Studios, continued great growth in digital gaming. Our emerging brands are just accelerating. The BABY ALIVE team and FURREAL FRIENDS team have done a great job. So that business is up within our Emerging Brands. And, of course, our Franchise Brands, we've seen great acceleration in the TRANSFORMERS business. So, I think, as we were talking about guidance, clearly for us revenues growth is important, but as you know, earnings growth and profitability are important for us as well over time. And so we had noted that we would have this extra week, and the week does fall at the end of the year. So that's a week primarily of expenses with very little revenue between Christmas and New Year's with very little shipments. We had a mix shift that we spoke to within our Partner Brands where we're mixing more into Princess and Frozen where we continue to invest in that business for innovations and for the full year. So, that obviously had an impact. We talked about MAGIC: THE GATHERING being our release schedule for our storytelling being more Q2 and Q4 oriented this year with Qs 1 and 3 probably being down a bit. So, I think overall, we tried to paint a picture in February that's been primarily borne out. Clearly, our point of sale, it's very robust and that's been very helpful for us around the world. It's up in the mid-teens around the world. And very, very strong growth in regions, which has enabled us to both have overall lower inventories, but also lower inventories at retail in the U.S. So we're selling out through product and setting ourselves up well for the full year situation. So, I would say overall, we are, in fact, pretty consistent with what we said back in February.
Felicia Hendrix - Barclays Capital, Inc.: Great. And then can you just give us some point of sales color for the quarter in the U.S. and then also, if you have it, for the top five Euro markets?
Brian D. Goldner - Hasbro, Inc.: Sure. Overall in the U.S., as Deb noted in her comments, U.S. is high single-digit growth in Toy and Game. And then we also have very strong growth in Emerging Brands, double digit growth in Emerging Brands and in Gaming. Our online POS was very strong and, again, continues to run ahead of our overall POS growth. We have really good data, particularly for our U.S. business and it was very strong growth. And we can talk more about that in a moment. Global POS was up mid-teens, but with certain regions up even higher, like Europe and Latin America. And we've seen even great sell through on global Partner Brands just because revenues were down, the sell through on Disney Princess and Frozen has been very, very robust. We continue to see great sell through in places like MARVEL, where our MARVEL LEGENDS business has continued to perform well. And as I said, global Games are up even more strongly than overall POS.
Felicia Hendrix - Barclays Capital, Inc.: Great. And then, Deb, I was just hoping you could just clarify something on for Other Income. You did break out that there was an FX gain of about $0.03. So, I calculated that's about $4 million. Other income was $17 million, which is kind of higher than it usually is. So, you had said that most of the benefit in that line was coming from FX, but that's only $4 million. I'm kind of wondering what else was in that. Like, if you could just call out for us what that Other, what else is in there.
Deborah M. Thomas - Hasbro, Inc.: Sure. Well, everything else was kind of relatively consistent with the prior year, with the exception of we did have higher interest income this year, as we see rates going up a bit and with our cash balance, we do have higher interest income in that line. But the one thing that was different and we really don't forecast – it just is kind of what it is – is the FX gain and it was just a little bit higher than that. But your math is not that far off. So, we wanted to point that out. The other thing was the excess tax benefit, because the increase in our stock price, we had said at Toy Fair, we thought it would be about $0.08 in the first quarter and it was about $0.11. So, we wanted to make sure we highlighted that. And that was just the benefit that our employees got from when all of the vesting took place in the beginning of the – or during the first quarter.
Felicia Hendrix - Barclays Capital, Inc.: And that falls in the Other Income line?
Deborah M. Thomas - Hasbro, Inc.: No, that falls into the tax line. But, our underlying -
Felicia Hendrix - Barclays Capital, Inc.: Okay, okay.
Deborah M. Thomas - Hasbro, Inc.: I guess I'm still thinking about your question on our expectations versus not. We really tried to highlight and that was something that was different than our expectations that we laid out at Toy Fair and that is in the tax line.
Felicia Hendrix - Barclays Capital, Inc.: Okay. I guess I'm asking just because a lot of investors this morning were just trying to figure out what your – kind of the normalized earnings are for the quarter. And so I think everybody understands the $0.08 from the accounting change. But looking at the $17 million in Other Income, I think some folks are inclined to kind of not give you credit for any of it. And I'm just trying to figure out what's, kind of, a normalized run rate for that line, versus some extra things you had in the quarter.
Deborah M. Thomas - Hasbro, Inc.: Yeah, we would say the only unusual thing that you really can't put your finger on is the FX gain. I mean, that's still dependent on where the rates are going. So-
Felicia Hendrix - Barclays Capital, Inc.: Okay. All righty. Thank you.
Brian D. Goldner - Hasbro, Inc.: Thanks.
Operator: Our next question is from the line of Tim Conder with Wells Fargo. Please go ahead with your question.
Timothy Andrew Conder - Wells Fargo Securities LLC: Thank you. Just a couple of clarifications here. Brian, you said global when you were responding to Felicia's question. So you meant global collectively, not just international on that?
Brian D. Goldner - Hasbro, Inc.: Yeah, global was up mid-teens. As I said, North America was up high – very high single digits. Europe was up double digits. Latin America up double digits above our global POS gain. Asia Pac was more in line with our global POS gain. So, in Europe and Latin America was particularly strong.
Timothy Andrew Conder - Wells Fargo Securities LLC: Okay. Okay. And then, Deb, you'd called out how you had some very favorable FX hedges in 2016. Where are those comps more difficult on the FX side with the favorable hedges? And I apologize if you hit this before, but I just wanted to double check. How do you see the FX now versus that $50 million to $60 million you outlined at Toy Fair?
Deborah M. Thomas - Hasbro, Inc.: We hedged about 75% of our product purchases last year. And we're hedged a little bit less than that this year. The hedges are a bit less favorable than they were in the past, as rates have kind of leveled out this year. So, overall, we'll have a bit of a negative impact that impacts gross margin, but – and we'll take pricing to compensate for some of that as we go through the year. We still see our numbers kind of in line with what we set out for the full year, just as a bit of – because it's such a small quarter, little things can have such a big impact on our different percentages of revenue in the first quarter. But overall, for the full year, we still see our numbers in line with what we set out at Toy Fair.
Timothy Andrew Conder - Wells Fargo Securities LLC: And the quarter that would have the most difficult comparison, versus the more favorable hedges last year?
Deborah M. Thomas - Hasbro, Inc.: It's really hard to say. I mean, it's probably – most of our purchases come through in the third and fourth quarter, along with our sales. So, I would think that that would be it. But you probably just won't see it as much because they are such big quarters.
Timothy Andrew Conder - Wells Fargo Securities LLC: Okay, okay, okay. And then any areas, Brian, where you believe you're short on inventory?
Brian D. Goldner - Hasbro, Inc.: Well, I think overall, we do have some product lines that are selling quite well. If you look at the acceleration in our Games business and some of the new launches that we've come out with, they're selling quite well. And the Games category is up and POS is up very strongly. I would say overall, clearly, you see that retail inventories in the U.S. are down and our overall inventories are down a bit. I think you'll see in Qs 2 and 3 as we get into our storytelling and our Partner Brand storytelling you may see a bit of an increase in inventories, but only in line with sales. So, again, we'll try to put more inventory around the entertainment initiatives and more adjusted time inventory as we continue to manage that.
Timothy Andrew Conder - Wells Fargo Securities LLC: Okay. And then lastly, and I know you've had and we've had questions related to the concerns about cannibalization on TRANSFORMERS and Spider-Man and you've answered that, as those address different audiences. How, I guess, are the approach of yourselves and Disney, as it comes to the five to six months between The Last Jedi and then the spinoff coming then in May of 2018?
Brian D. Goldner - Hasbro, Inc.: Yeah, I would say that 2017 has certainly lined up to be a very strong year. You have a number of initiatives, but you do have different audiences, demographics, fan bases for each of those and some good separation in the calendar as well. One of the things we're also seeing is this very good strength in the electronic sell through windows, the home entertainment windows. So you're getting both the theatrical as well as the electronic sell through windows, like Moana had performed so well around the home entertainment window. As we get into 2018, we go from strength to strength. We have a number of new theatrical pieces of entertainment. We'll have our own TRANSFORMERS movie in Bumblebee next year and then you have a number of MARVEL movies. And then, you're right, summer we'll also have the Han Solo movie. But, again, there's very big differences between the fan bases and the – both demographics and psychographics, the play patterns. And we have dedicated teams of individuals. We don't have the same teams working on Lucasfilm that we have working on MARVEL. They're different teams, they have different innovations. We're bringing new innovations to the market first around those brands, as well as around our brand. So, because of that, we're able to look at the marketplace and take global consumer insights and apply them differently so that we're able to tease out and offer different play patterns and role play and action figures that really help to keep all of our fans, children, and families enthusiastic around those brands. So we really don't see it – and by the way, we've experienced years with Spider-Man and TRANSFORMERS movies before, and both of those brands performed at a very high level. I'm very excited about the Spider-Man movie. I think the materials look fantastic.
Timothy Andrew Conder - Wells Fargo Securities LLC: Okay. Okay. Thank you.
Operator: Our next question comes from the line of Arpiné Kocharyan with UBS. Please proceed with your question.
Arpiné H. Kocharyan - UBS Securities LLC: Hi, thank you. So, thanks for the expense color on extra week. And I understand revenue was not up commensurate with expense, but in terms of year over year terms, what did the extra week add in terms of revenue year over year? And does incremental expense and MAGIC: THE GATHERING being down for the quarter explain the 340 basis points of operating margin contraction in North America? And then I have a follow-up on that. Brian, I heard you reiterate the 15.7% operating margin on GAAP basis. It seems like you expect good strong top line growth this year, with some puts and takes, of course, in terms of mix. And if this is the case, I'm just trying to understand why wouldn't it be operating margin accretive, given the fact that mix shift is lower for Partner Brands, according to your guidance, and that's lower operating margin business for you, why wouldn't adjusted operating margins grow for the year, if you expect additional revenue?
Deborah M. Thomas - Hasbro, Inc.: Arpiné, let me address your first question. So, the extra week comes at the beginning of our fiscal year, which is the end of the calendar year. So it's essentially that week between Christmas and New Year. And really, a lot of retailers don't take a lot at shipments in that timeframe. Many of our offices are closed down. So, from a revenue standpoint, it truly is negligible, if we have any at all, but the expenses are fixed. Typically, we have to pay salaries. We pay things like that, rents. So our expenses are pretty much fixed. And that's why you get that extra week. It only happens once every several years. So, we don't talk about that much. But it's a 14-week period versus a 13-week period, and that's really why we highlighted that.
Brian D. Goldner - Hasbro, Inc.: Yeah. And then on operating margin, we do expect operating profit margin expansion, versus our reported 15.7% last year. And, as I noted in February, we would expect over time to continue to expand operating profit margins towards that 16.4% level over the medium term. But as you know, we're also investing in our business, creating new content and innovation, and ensuring that we have the horsepower to deliver great results in both top and bottom line over multiple years and that requires investing back in our business, and you'll also see that. So, again, I want to reiterate that we do see operating profit margin expansion versus the 15.7%.
Arpiné H. Kocharyan - UBS Securities LLC: Thank you. And then I have a quick follow-up on Backflip. Was there anything outsized for the quarter that you don't expect reoccurring in Q2, Q3, Q4 this year under Backflip?
Brian D. Goldner - Hasbro, Inc.: No, the Backflip business, we made the transition and now own 100% of that business. The business revenues have been accelerating as we brought on board some new leadership, and also we see our brands like TRANSFORMERS: EARTH WAR performing well. There'll be a couple of new Hasbro titles that will come out over the next year, and DragonVale World and DragonVale continue to sale. So, I think it's some good progress as we move forward. And then, of course, we have third-party digital gaming business with our embedded teams that also performed at a very high level and we've seen great results there, as our brands really resonate in that mobile gaming platform.
Arpiné H. Kocharyan - UBS Securities LLC: Great. Great. And then one quick follow-up, Brian. One of your large customers, I guess, in the prior week talked about a tough retail environment, whether in terms of inventories, as well as sell through and trade spend. Could you just take a few minutes to kind of give investors an update on the overall health of the category as you stand here at the beginning of the year, in terms of Toys? Thanks.
Brian D. Goldner - Hasbro, Inc.: Sure. You saw that our overall sales grew, despite the fact that we had the flip in Easter and, as I said noted, our overall POS grew both without and including Easter, and grew very robustly. Our allowances overall are in line with prior periods. So, as we said in the fourth quarter, back in February, it's very consistent with the first quarter, where allowances really are very much the same as they have been in the past. We have a lot of products that are selling quite well. As Deb noted, we did take advantage of some of the marketing windows and entertainment windows in EST and our own windows around MY LITTLE PONY launching its new TV series mid-April to clean up some inventories and that goes out through closeouts. But for the full year, we do not expect closeouts to differ materially from any prior year. Just, again, taking advantage of what we're seeing in the marketplace, which is this great much more robust uptake around the home entertainment windows for major entertainment and also the continued drive that television has on businesses. So, I would say, overall, we're partnering with that retailer and all our retailers, both in store and Omni channel online, and we are seeing a great convergence of content, commerce, and innovation happening at retail and also particularly in the online space. And we're seeing a lot of our retailers performing quite well across both of those dimensions.
Arpiné H. Kocharyan - UBS Securities LLC: Thank you.
Operator: Our next question is from the line of Greg Badishkanian with Citi. Please proceed with your question.
Gregory Robert Badishkanian - Citigroup Global Markets, Inc.: Great. Thanks. Could you talk a little bit about the response to Beauty and the Beast? Did it meet your expectations and what type of benefit will you receive from the box office versus the home entertainment? How do you think that's going to differ for this movie?
Brian D. Goldner - Hasbro, Inc.: Yeah. Overall, the sell through for our Disney Princess, Beauty and the Beast, and Frozen has been extremely positive around the world. And what we saw for Moana I believe we will also see for Beauty and the Beast. We saw great sell through during the time of the movie, but this EST or electronic sell through window has become a more marketable window for those OTT platforms. Lot of OTT platforms are now marketing around the availability of new movies and content and that's really helping to engender a lot more interest and driving a lot more merchandise sales. So, we saw it for Moana around EST and home entertainment. It's been a major driver, and I would expect it to be the case for Beauty and the Beast. Clearly, we see the Beauty and the Beast as a major contributor and we are very excited about the kind of sales we are seeing. In fact, if you look at the 11 Princesses that we have available in the market, right now, Belle is our number one seller. So, I think that's a good indication of just how well Beauty and the Beast is performing. But then, as you go out through the year, we have a number of new initiatives coming in the area of content. There's a new lineup for a new Tangled TV series. I mentioned the Beauty and the Beast home entertainment window. We also have innovations like Dance Code Belle coming from the product line that we're very happy about and other innovations and fashion dolls. You have the summer Descendants 2 movie coming that will be in television. And then, of course, around holiday, you have new entertainment for holiday coming for Frozen – the Olaf's Frozen Adventure and a whole new line of product coming for us to celebrate that. So, again, overall, sell through has been up significantly across the business and Disney Princess globally.
Gregory Robert Badishkanian - Citigroup Global Markets, Inc.: All right, good. And then in terms of M&A opportunities and maybe the potential to combine with some other large manufacturers like Mattel, do you see opportunities or would that just be a distraction given the strong POS and momentum that you're seeing?
Brian D. Goldner - Hasbro, Inc.: We're very focused on building our brands and building our capabilities around the Blueprint. And we've said that we remain open to looking at new capabilities and on boarding new capabilities. We've also looked at a lot of our vault brands and over time have acquired a few brands here and there, like Micronauts that have been great comic book brands that we're developing. But, as you see, we're sort of shifting into the next gear as a company, and beginning to identify those new brands we want to put in the marketplace, like Hanazuki and you'll see a TV series coming this fall from us as an exclusive on Netflix which is Stretch Armstrong coming out of our vault. So, we feel like we have the right brands, the right team, and the right blueprint to drive our business.
Gregory Robert Badishkanian - Citigroup Global Markets, Inc.: Okay. Thank you.
Operator: Our next question is from the line of Michael Ng with Goldman Sachs. Please proceed with your question.
Michael Ng - Goldman Sachs & Co.: Thanks very much. I have a question for Deb and one for Brian and then a content question for whomever wants to take it. First, Deb, just a question on the ASU 2016-09 benefit of $0.015 each quarter. What stock price are you assuming? And then, for Brian, Gaming was particularly strong in the quarter and this is despite MAGIC being down year on year. Can you provide any additional color on what drove the strength? And maybe are you able to provide any color around gaming POS? I'm just trying to better understand the underlying consumer demand versus the benefit from initial shipments. And then I have a follow-up.
Brian D. Goldner - Hasbro, Inc.: Sure.
Deborah M. Thomas - Hasbro, Inc.: So, Michael, I'll just grab the stock price one, quickly. We're just assuming a stock price similar to what we had around the end of our first quarter.
Brian D. Goldner - Hasbro, Inc.: And then in Gaming, we've had a number of new initiatives and continuing initiatives that have been strong contributors to shipments and to sell through. In fact, our sell through is very strong as well, up double digits, as I noted. And we're seeing that globally around gaming. So, in the area of games, we have a few new games. I never thought I'd actually get to talk about this on an earnings call but, TOILET TROUBLE is off to a very good start and as everybody here sort of laughs, it's a fun game for preschoolers. FANTASTIC GYMNASTICS has been off to a great start. We continue to see great results around Speak Out Kids vs Parents, which is a new line extension for that brand. PIE-FACE has continued to perform at a very high level. We saw growth in MONOPOLY in the quarter, as you know. I also am very happy to see very strong growth for brands like DUNGEONS & DRAGONS and Duel Masters. So, the team at (46:34) has gone to a new storytelling modality for MAGIC and, obviously, impacted the quarter. But they've also done some very good work around DUNGEONS and storytelling and in engagement with that audience. So overall, I would expect that our face-to-face gaming business will continue to perform at a high level and the team's done an absolutely stellar job at both the social media oriented games, as well as some more of our classic games. And then, of course, you have to note the growth in our digital gaming business, the owned and operated Backflip Studios, as well as our third party digital games both performing at a very strong level.
Michael Ng - Goldman Sachs & Co.: Great, thank you very much. That was helpful. And the content question is, I believe that MY LITTLE PONY: THE MOVIE will be Hasbro's first theatrical release where you'll actually have meaningful ownership. And I think this will be the first time that Hasbro will actually book box office revenue. First, is that right? And then, from a modeling perspective, is that going to be booked at the geographical level or within the Entertainment and Licensing segment?
Brian D. Goldner - Hasbro, Inc.: Yeah, so let me take the first part of that question and then Deb can talk about the geography on the P&L. The first part is we are working in partnership with Lionsgate. They've have done a great job in helping to get us global distribution. And all the territories are very excited now as we line up the global box office date for MY LITTLE PONY. Again, remember, for those of you less familiar with how we produce animation, we are taking advantage of new technology and capability so that we're able to produce this animated feature film with animated quality, animated feature film quality with a very notable cast, very all-star cast, and all-star music, but yet at a price point that's lower than other feature film studios out there, and I think that's important to note. And we're using a great modality as we roll the product line out around the world. And, yes, we will participate in box office for the movie. I don't know, Deb, if you want to -
Deborah M. Thomas - Hasbro, Inc.: Right. So we've had some moderate box office before. Our share of TRANSFORMERS, again, very modest share of box office, but that was booked in our Entertainment and Licensing segment and the box office related to this movie will be booked there as well.
Michael Ng - Goldman Sachs & Co.: Great. Thank you very much.
Operator: Thank you. At this time, I will turn the floor back to Debbie Hancock for closing remarks.
Debbie Hancock - Hasbro, Inc.: Thank you, Rob, and thank you everyone for joining the call today. The replay will be available on our website in approximately two hours. Additionally management's prepared remarks will be posted on our website following this call. Hasbro will be participating in several upcoming conferences. On May 22nd, we will be at the J.P. Morgan TMT Conference in Boston. On June 1, we will participate in the Bernstein Strategic Decisions Conference in New York. On June 15, we'll be at the NASDAQ Investor Conference, hosted in conjunction with Jefferies at London. We're also planning an Investor Day to be held on Thursday, October 3 in our West Coast offices in Burbank, California. – August. What did I say? August 3, I apologize. Thursday, August 3 and finally Hasbro's second quarter earnings release is tentatively scheduled for Monday, July 24. Thank you.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.